Operator: Good afternoon. My name is Skinner, and I'll be your conference facilitator today. At this time, I would like to welcome everyone to the Manhattan Associates first quarter 2016 earnings conference call. [Operator Instructions] I would now like to introduce Dennis Story, CFO of Manhattan Associates. Mr. Story, you may begin your conference.
Dennis Story: Thanks, Skinner, and good afternoon, everyone. Welcome to Manhattan Associates 2016 first quarter earnings call. I will review our cautionary language, and then turn the call over to Eddie Capel, our CEO. During this call, including the question-and-answer session, we may make forward-looking statements regarding future events or future financial performance of Manhattan Associates. You are cautioned that these forward-looking statements involve risk and uncertainties, are not guarantees of future performance, and that actual results may differ materially from projections contained in our forward-looking statements. I refer you to the reports Manhattan Associates files with the SEC for important factors that could cause actual results to differ materially from those in our projections, particularly our Annual Report on Form 10-K for fiscal 2015 and the Risk Factor discussion in that report. We are under no obligation to update these statements. In addition, our comments include certain non-GAAP financial measures in an effort to provide additional information to investors. All non-GAAP measures have been reconciled to the related GAAP measures in accordance with SEC rules. And you can find a reconciliation schedule in Form 8-K, we submitted to the SEC earlier today and on our website at manh.com. Now, I'll turn the call over to Eddie.
Eddie Capel: Well, good afternoon, everybody. We're off to a great start in 2016, posting record results as our customers and prospects continue to invest in core supply chain and omni-channel commerce initiatives. Our competitive position in the marketplace continues to be strong and customer satisfaction is solid across the globe. We delivered record total revenue in Q1 of $149.9 million, increasing 12%, and record adjusted earnings per share of $0.42, increasing 24% over Q1 2015. Software license revenue for the quarter was $20.6 million, up 7%. We closed three $1 million-plus license deals in the quarter, two with existing customers and one with a net new customer. Two of the large deals were in the U.S. and one in Latin America. All three of the deals were led by omni-channel transformation initiatives. And in one of the three large deals, we were successful head-to-head against very strong competition. Clearly our sales teams are executing very well, and their competitive win rates in head-to-head sales cycles against their major competitors remain strong, at over 75% for the quarter. Overall for the quarter, 50% of our license revenue was from net new customers, adding new large global brands to our customer portfolio. Our success is driven by the focus we apply to delivering innovation in an ever-changing commerce market, focusing on our customer success and leveraging at deep demand expertise. While we remain cautious regarding the global economic growth risks with a strong start to 2016, we are raising both our revenue and earnings per share guidance for the year. Dennis will share the specifics with you in a moment. Our pipeline is solid, services business demand is strong, customer satisfaction is good and we continue to be the leading innovator in the supply chain commerce market. And I'm going to look forward to providing more color in my business update, following Dennis' review of our financial results and our revised guidance details.
Dennis Story: Thanks, Eddie. I'll cover our Q1 2016 results, and then review our updated 2016 full year guidance. We posted Q1 total revenue of $149.9 million, representing organic growth of 12%. Excluding FX impact, total revenue grew 13%. For the quarter, Americas grew total revenue of 17%, EMEA was down 14% on weak license performance and APAC was up 2%. Adjusted earnings per share for the quarter was $0.42, up 24% over prior year and our GAAP diluted earnings per share was $0.38, increasing 23%. For your reference, a detailed reconciliation of GAAP to non-GAAP adjustments is included in our earnings release today. License revenue for the quarter totaled $20.6 million. From a regional perspective, Americas posted license revenue of $19 million, EMEA $0.7 million and APAC $0.8 million. Consistent with previous quarter's comments, our license performance depends heavily on the number and relative value of large deals we close in any quarter. Consistent with last quarter, we continue to target license growth goal of 6% to 8% for the remainder of 2016. Shifting to services. Demand continues to be solid. Q1 services revenue totaled $116.3 million, increasing 15% over prior year. Our services revenue is comprised of two revenue streams, consulting and maintenance. Consulting revenue for the quarter totaled a record $84.5 million, growing 16% over Q1 2015. With solid visibility into our global services demand, we hired 135 consulting associates in Q1 and continue to focus on hiring additional resources to meet our customer's needs. Maintenance revenue for the quarter totaled $31.8 million, increasing 11% over last year. Strong cash collections, license revenue growth and retention rates of 90%-plus contributed to year-over-year growth. And as a reminder, we recognized maintenance renewal revenue on a cash basis. So timing of cash collections can cause in a period lumpiness from quarter-to-quarter, which Q1's growth was positively impacted by cash collections timing. Consolidated services margins for the quarter were 56.5%, benefiting from solid productivity, while absorbing Q4 2015 and Q1 2016 new hires. We expect Q2 2016 services margins will likely be in the range of 57.6% to 57.8%, and our full year 2016 services margins to normalize into the 57.5% to 57.7% range. Turning to operating income margins. Q1 adjusted operating income totaled a record $47.9 million, with operating margin of 32%, up from 30% in Q1 2015. Our operating leverage is driven by solid organic revenue growth, workforce productivity and a strong expense discipline. With the solid Q1 results, we are expanding our goal for 2016 full year operating margin expansion over 2015 to a range of 75 basis points to 100 basis points, providing for an additional 25 basis point upside as we continue to incrementally invest in innovation, marketing awareness programs and infrastructure in 2016. We are targeting a Q2 2016 operating margin range of 32.5% to 32.8%, representing an 80 basis points to a 110 basis point increase over Q2 2015. We expect second half 2016 operating margin to come in at 32.7% to 32.8% versus 32.5% in 2015. The second half quarterly splits should be adjusted for quarterly license seasonality and lower Q4 services revenue, due to the traditional retail holiday season. So that covers the operating results. Regarding taxes, our adjusted effective income tax rate was 37% for Q1 compared to 37.5% in Q1 last year. We continue to project a full year effective tax rate of 37%. Recall that Congress approved a permanent extension of the R&D tax credit in December of 2015. Prior to the permanent extension, Congress routinely extended the R&D tax credit in Q4, creating a full year catch-up in the fourth quarter versus recognizing the benefit quarterly throughout the year. Diluted shares for the quarter totaled 73.0 million shares, down from Q4 2015 shares of 73.6 million. We repurchased about 890,000 of common stock in the quarter totaling $48.5 million. We estimate Q2 through Q4 2016 diluted shares to be 72.7 million and the full year weighted average diluted shares to be 72.950 million. This estimate does not assume additional common stock repurchases. Lastly on shares, last week our Board approved raising our share repurchase authority limit to a total of $50 million. That covers the P&L results. Turning to cash flow. Cash flow from operations was $40.4 million, up from Q1 2015's $15.2 million performance on strong global cash collections. DSOs improved to 51 days versus 63 days in Q4 2015. And capital expenditures were $1.9 million in the quarter, and we estimate full year 2016 CapEx to be about $11 million to $13 million. Our balance sheet clearly continues to support stability and long-term investment flexibility with zero debt and cash investments totaling $115 million at March 31, 2016, compared to $129 million at the end of Q4 2015. The net decrease was driven primarily by our share buyback program. So that kind of covers the Q1 2016 results in a nutshell. The four pillars of financial strength, growth, profitability, cash flow and the balance sheet are rock solid for Manhattan Associates. Now, I'll update you on our 2016 guidance, and then hand it back to Eddie for the business update. With a solid start to the year, we are raising our full year 2016 total revenue and EPS guidance with a measured pace, given potential risk associated with the current global growth outlook. For revenue, we're raising our guidance for full year total revenue from our original range of $609 million to $615 million to a new range of $615 million to $620 million, representing 10.5% to 11.5% growth over 2015 versus our previous guidance of 9.5% to 10.5%. Our total revenue guidance factors in a 1 to 2 percentage point decline form FX headwind. We expect our full year total revenue percentage split to be about 49% to 51% first half versus second half. With the Q4 holiday season as in prior years, we are modeling a sequential decline in services revenue of about 4% to 5% form Q3 2016 to Q4 2016. For adjusted diluted earnings per share, we are raising our guidance range $0.04 to $1.73 to $1.76, representing 14% to 16% growth over 2015 adjusted EPS of $1.52. Our previous guidance was 11% to 13% growth at $1.69 to $1.72. We expect our full year EPS split to be the same as the total revenue with a 49% to 51% split first half to second half. For GAAP diluted earnings per share, we expect to deliver $1.58 to $1.61, representing 13% to 15% growth over 2015 GAAP EPS of $1.40. The difference between GAAP and non-GAAP adjusted EPS represents the impact of stock-based compensation. So that covers the financial results and the 2016 guidance. Now, I'll turn the call back to Eddie for the business update.
Eddie Capel: Thanks, Dennis. Well, as Dennis has mentioned, we're off to a very good start in 2016, despite a challenging global environment, particularly in Europe and in Asia. We continue to see solid progress in our core verticals, led by retail, with a meaningful portion of our WMS and non-WMS license and services revenue activity, driven by digital commerce and technology modernization programs. Our competitive position continues to be quite strong and we are aggressively investing in innovation and market awareness to take market share and to position Manhattan for the next wave of retail multi-channel selling, entering 2017. As I discussed at the beginning of the call, we recognized three large deals in the quarter, two in retail and one in food and beverage. All deals were driven by strategic supply chain modernization programs. In Q1, our license fee mix was weighted at about 65%-35% between our warehouse management and other solutions. A meaningful portion of our WMS and non-WMS license and service revenue incomes continues to be driven by existing and new customer omni-channel initiatives and legacy supply chain modernization. The retail, consumer goods and food and beverage verticals were our strongest license fee contributors, making up more than half of our Q1 license revenue. Q1 software license win with new customers that have permitted us to share their names include aCommerce, Amrod, Bedrosians Tile & Stone, Central Garden & Pet Company, Levi Strauss & Co., Tokyo Chemical Industry and Van Marcke Group. Q1 expanding relationships with existing customers included Ascena Retail Group, Batory Foods, Carhartt, Country Road Group, Express, Floor and Decor Outlets of America, Genesco, Hy-Vee, Itochu Logistics, lululemon athletica, Mercury Marine, Michael Kors Europe, Mothercare, REI, Sketchers USA, The Hillman Group, Under Armour, VF Services, Wineworks and Winning Appliances. Our professional services business around the world continues to perform very well, posting record revenue results with Q1 revenue up 16%, and they continue to receive high marks for customer satisfaction. Our global services team have been very busy with core supply chain and retail omni-channel supply chain commerce enablement initiatives with more than 335 system go-lives over the past 12 months. Demand and visibility continues to be quite strong, as we added 135 associates to our global team in Q1 and plans for the balance of 2016 call for adding about 200 more net-new associates to meet the needs of our customers. We continue to be the leading innovator in supply chain technology. For the quarter, we invested about $15 million in research and development with over 650 people dedicated to R&D. And at the core of our success is our strategy to be serial investors in forward-thinking innovation to expand our addressable market and deliver market-leading differentiated capabilities to our customers. And as I mentioned previously, our 2016 plans call for increased R&D investment beyond our core supply chain solutions, developing the industry's leading, multi-channel retail store platform with point-of-sale and clienteling capabilities focused on the consumer. And most recent 2016 product releases reinforce our commitment to providing best-in-class capability. So let me take this opportunity to share a few highlights of our latest versions. I'll start with core supply chain applications like WMS and TMS. In Q1, we shipped the 2016 version of our market-leading warehouse management system. This release continued the three year trend of doubling down on providing best-in-class capabilities for efficient fulfillment of omni-channel or direct-to-consumer orders. Given our substantial WMS customer base, we have been afforded the opportunity to collaborate with some of the largest and most sophisticated direct and indirect DTC shippers in the world. And inspired by these customers, our 2016 release have been focused on two key themes, mobile application enablement and the maximizing of distribution center throughput. On the mobility front, we've introduced the first of its kind mobile application for the distribution center, in this case focused on temporary and seasonal workers. The purpose of this new app is to allow our customers to flex their temporary work forces up very quickly and very efficiently just in time for peak periods, like those following particular cyber sales or the yearly holiday peak. Response from that customer base has been fantastic thus far and we'll work with several large retailers to have the app in place in time for this holiday season. On the DC throughput front, in addition to the substantial throughput enhancements afforded by workforce enablement from the mobile app, we have also redesigned our already world-class outbound order fulfillment capabilities with a brand new user interface, and we've enhanced our support for advanced robotics and semiautomatic automation. These enhancements and others included in the release put our customers in the best possible position to ship their small profile DTC order accurately and on time. But that's just our perspective. Now, Gartner recently released their Magic Quadrant for the warehouse management system. And once again, Manhattan Associates' WMS clearly separated itself from the pack. And as we look forward, our investment plan in WMS isn't slowing down. We're committed to expanding our lead, as the obvious choice for distribution organizations across the globe. Our 2016 version of transportation management focused on its investments on helping our customers deliver parcel and small shipments to consumers more quickly, more flexibly and more cost effectively. In particular, our TMS solution now includes a mechanism to leverage next-generation parcel transportation options, such as those provided by [ph] crowd-source providers, local carriers and even recently introduced modes from large traditional parcel service carriers. Now particular importance for that customer base is its flexibility to experiment with different delivery methods and take that direct-to-consumer model to new geographies. The 2016 version of Manhattan TMS provides both of these capabilities. Now that said, the largest and most sophisticated businesses regardless of industry, on a single system, a single optimization engine, to optimize all of their freight, inbound, outbound, parcel, LTL and full truck load. And paired with our WMS, only Manhattan offers the best-in-class, suite of logistics applications, purpose build for the multichannel, multi-modal, a multi-geography business of today's largest and most sophisticated shippers. Now, turning our attention to the fastest growing portion of our business, our omni-channel applications, they continue to advance briskly in both market adoption and base product capability. In Q1, we shipped major new versions of our market-leading, omni-channel OMS and store inventory and fulfillment applications. Among another a number of significant advancements within OMS, particularly, noteworthy is the investment we've made in the product to support its usage for our customers operating multiple brands and in multiple geographies. And the application architecture has always been scalable enough to run incredible volumes of business through a single instance of the application, but now we've added the flexibility to configure and run different brands in different geographies in different manners. This flexibility includes the ability to easily have all different prices and payment methods and other brand and geo-specific requirements. In short, our 2016 releases are reflection of our strategic plan to provide an omni-channel operating system to the world's largest, multi-brand, multinational businesses. Now in addition to the core OMS, we continue to push hard to deliver the market-leading, market's best solution for managing store inventory, executing in-store pickup and shipping orders from the retail store. With more than five years under our belt in helping our customer ship massive volumes from their stores, the last several years of Manhattan includes a relentless focus on mobility. I think we all agree, mobile devices to store associates are quickly shifting from experimental and boundary-pushing to becoming table stacks de facto elements of the store ecosystem. We've mobile-enabled our best-in-class store fulfillment application in a manner, which works for all flavors of retail from large big box retailers to a department store to specialty fashion retailers. While one size does not fit all in this case, our store inventory and fulfillment mobile application has the flexibility to work well across the gamut of use cases and store formats. And in our next call, I look forward to providing an update on our upcoming shipments of our point-of-sale, clienteling and inventory optimization application releases, all of which are making great strides in their respective markets. Now turning to our global associates, we ended Q1 with about 3,015 employees around the globe, up 8% over prior year Q1, and 90% plus over headcount growth is in professional services on strong demand to support topline growth and customer satisfaction. We finished the quarter with 68 people in sales and sales management with 62 quota carrying sales reps, up four from last quarter. And we intend to continue to be opportunistic and look to add about a half a dozen additional talented sales professionals to the company. At about a month from now, we will again have the privilege to welcome our customers, partners, press and analysts to our annual customer conference momentum. We have a solid line up of customer speakers and topics for this year's conference that will be held at Walt Disney World's Dolphin Hotel from May 15 to May 18. Our focus for momentum this year is on speed and complexity required for supply chain commerce to go from excelling at fulfillment to excelling at delivering our fulfilling experience. And throughout the conference, we'll plan to illustrate how clients are redesigning their strategies ensuring each customer has a fulfilling experience at every touch point across the supply chain regardless of industry, while showcasing new technology to support e-commerce and the warehouse, transportation and retail store operations. Over the four days of the conference, we'll conduct over a 100 sessions that cover variety of topics including business strategy, best practices, customer panel discussions, and deep dive technical emergence. Attendees will have the opportunity to hear directly from thought leaders among our clients such as Nike, Target, Michael Kors and FreshDirect. And once again, we're seeing very strong interest in this annual event. Now, let me close my prepared remarks with a brief summary. Of course, we are very pleased with our continued momentum and performance entering 2016. While global macroeconomic growth continues to give us reason to be somewhat cautious, we're very optimistic about the future and remain focused on our customers and getting them commerce-ready. Retail commerce and supply chain complexity in our target markets continues to increase, driven by digitalization, e-commerce and all of the things that are fueling those multi-year investment cycles. Our relative competitive position continues to be strong. And we continue to invest in innovation to extend our market leadership and differentiation with the world's most talented supply chain employees, the best software solutions and great market momentum, we believe we are well-positioned for the balance of 2016 and beyond. And Skinner, at this point we'll be happy to take any questions.
Operator: [Operator Instructions] Our first question comes from Terry Tillman from Raymond James.
Terry Tillman: I guess I just had two questions. First question related to Tablet Retailing. And first, I would like just a little bit more commentary on where your sales force is in terms of being more adept at now being able to talk Tablet Retailing? And where are you in terms of any early pipeline activity? And how we should think about that as potentially starting to kind of show up in the license revenue?
Eddie Capel: So we've got a number of people, so all of our sales organizations are versed in a mobile point-of-sale, and as you're referring to a Tablet Retailing, Terry, we have a number of individual who specialized in that particular area. Frankly, they came over to us as part of our Global Bay acquisition well over a year ago now and are still with us. They are experts in the field with many decades actually of industry experience. So we've got a great team focused on that space in the sales organization. With regard to interest momentum in pipeline, the solutions are being very well received. We're getting a ton of interest. As we've said before though, these sales cycles are not short, they are not Y2K-like, frankly. So we expect to see real license revenue contribution only starting in 2017. We do expect that we will secure some additional early adopter customers here in 2016. But I think you should really expect to see license momentum in '17, '18 and '19.
Terry Tillman: And in terms of the percentage of software that came from new customers, I've never seen that number before. I think it was 5-0, if I'm not mistaken.
Eddie Capel: It was.
Terry Tillman: Is there anything you tweaked in terms of just to go-to-market or is it more to do with maybe you've just got a broader portfolio of solutions. So some of the folks that wouldn't have started with WMS they're now looking at you. I just like a little bit more color on just what seems like a big pick up there.
Eddie Capel: Yes. I don't think there's any -- I think as we've seen quarter-over-quarter, Terry, those numbers can vary a little bit. We are very pleased with a 50-50 split in this particular quarter. But I do believe that our focus on bringing brand new innovation to the marketplace is what has enabled us to be able to secure these new global brands and bring them into our portfolio. But I wouldn't attribute it to any particular marketing strategies or sales strategies, but merely the continued focus on research and development and innovation that we're delivering into the space.
Terry Tillman: And I guess, the question, Dennis, for you is in terms of -- I won't try to pin you down for '17 guidance yet, I mean, that's maybe a little too early. But people have come to expect margin expansion, but your margins are starting to get to quite high-levels, at least in relationship to any other company I cover. Eddie talked about the R&D and the requirements for innovation around some of these newer technology areas you're focused on. But as we get into '17 and beyond, are there still areas for margin expansion and could you elaborate on any of those areas where there's still leverage in the model?
Dennis Story: Yes, there is still areas for expansion, Terry. We'll talk more about 2017 in Q4. But bottomline is as we've always said there's leverage in every line item of the P&L. So starts with the revenue lines and the margin that we drive off of the revenue lines, as well as gaining leverage off of our operating expenses.
Operator: Our next question comes from Mark Schappel from Benchmark.
Mark Schappel: Eddie, starting with you in your prepared remarks, I believe you discussed some of the enhancements that you're making to your transportation management solutions. And maybe I missed it, but I don't recall much of a discussion about cloud there. And if I'm not mistaken, your customers have been gravitating to your cloud TMS solution over the past few quarters, so I was just wondering if its fair to assume that you're still seeing that kind of a move?
Eddie Capel: Yes. It is fair to assume that, Mark. It banters around just a little bit quarter-by-quarter, but certainly in full year 2015, we saw in the range of 70% to 75% of our transportation deals to be in the cloud. 2016 is started off that way. And I think we'll continue to see that phenomenon.
Mark Schappel: And then switching gears a little bit here, on the M&A front, the company really doesn't have a history being active on the M&A front. I granted you did do Global Bay, and there was one, I think about four or five years ago as well. But maybe you could just update us on where the company's at or maybe your view of where the Board is at with respect to M&A specifically moving into or acquiring new technologies or into adjacent markets?
Eddie Capel: We'd love to be more acquisitive, but we have some guidelines under which we operate. First of all, we will not buy more of what we already have. So we'll only buy strategic footprint expanding capabilities. Obviously, we're looking for terrific technology alignment, with our current strategy. It has to be modern technologies. We're now looking to reinvent old architectures and so forth. Of course, we're looking for fair value. Now, so that narrows the space -- that narrows the universe of opportunity quite a bit. Now, when you think about --- the other thing is when you think about the areas in which we are moving into, particularly customer platforms and consumer platforms and so forth, being that customer platform of the future, I think frankly one of the great pieces of news for us, our shareholders is that it's pretty hard to acquire yourself into that space. The only way really to get into that space is to innovate into it. And that's why one of the reasons that we think we're very well-positioned here with our, of course, domain expertise, trusted advisor relationship in the retail space and our ability to invest in research and development.
Dennis Story: So Mark, let me jump on piggy back on Eddie's comments as well. So nothing has really changed with respect to the company's priorities for cash. So number one priority is to continue to invest in innovation, and as long as we can continue to take market share and expand our addressable market, we think that's a good bet. Second is, as we'll look at M&A opportunities. Eddie explained kind of the filter that we go through there. And in the absence of that, third is, is we'll look to put excess cash to work through the share buyback program. It's been a model of consistency.
Mark Schappel: And I think Evant was the other acquisition I was thinking of. I couldn't think of it at that time.
Eddie Capel: Yes, that was back in 2005
Dennis Story: Just a brief, 11 years ago, yes.
Mark Schappel: Anyways, finally, here let me just wrap up with one last question to you, Dennis. Cash flow from operations was exceptionally strong in the quarter. And I was just wondering if you could just go through what main driver of that cash flow upside was in the quarter? And also two, if you could just remind us if there was anything last year that maybe artificially lowered last year's number?
Dennis Story: No, really strong global collections. We have pretty good pull through on the maintenance, Mark. But if you look our global collections on an annual basis over the 10 years has exceeded our revenue in every year that we post. And so we're a company that just has a really strong discipline towards cash management.
Operator: And our next question comes from Yun Kim from Brean Capital.
Yun Kim: So have you guys entered the early stage of the retail POS launch? Are you seeing the same buyers of your core products or are you finding different set of buyers? And how much of your near-term opportunity in that market or that product is focused on your existing WMS and OMS customers versus potentially brand new customers?
Eddie Capel: So typically, we're going to see a slightly different buying community. Now, obviously things intersected the CIO, the COO and the CEO, but clearly the buying community for mobile point-of-sale and store execution systems is slightly different from kind of the core WMS and TMS products, but again, intersecting with those in the C-suite there, number one. Number two, with regard to, are we targeting existing customers or new customers for these solutions, hey, we're an equal opportunity seller in that regard. We'll sell those solutions to either existing or new customers, but given that we have such a strong customer base in retail already, no question there, the bridge there is not quite as far to cross. We tend to be a trusted advisor and are a trusted supplier in those spaces, which I cannot deny makes the journey a little bit easier.
Yun Kim: I just want to understand the selling dynamic for your new product. Are you trying to leverage as much as you can in terms of the relationship that you have with your WMS and OMS users and that particular line of executives to get into the retail POS or are you really trying to get in there as a standalone, maybe use some other relationship to get into those market opportunity?
Eddie Capel: We'll certainly continue to leverage our existing relationships. Now, our relationships inside of the organization is frankly a pretty senior, so we get to leverage them quite nicely, number one. Particularly, where we have order management customers and implementations, given that our strategy is and our hypothesis is the next generation of point-of-sale or mobile point-of-sale will be an extension of order management. So there is sort of a natural progression of conversation there.
Yun Kim: And any update in terms of partnership opportunity or strategy that you're pursuing to better penetrate that market?
Eddie Capel: Nothing massive. We have a couple of new partners signed up and they'll be at momentum with us. Few guys that have spent many, many decades in the point-of-sale in retail store space have joined our Manhattan value partner program. So we're pleased about that.
Yun Kim: Great. Looking forward to that. And then it looks like your European business was down double digits year-over-year, is that something that you guys are concerned about or it's just simply a quarterly volatility that we see once in a while from that region? And just pointing out that, it looks like the European business was a pretty big drag on the margin in the quarter. Just kind of wondering what your thinking in terms of running that European business more on a profitable basis?
Eddie Capel: Certainly. Well, we weren't thrilled with the performance in EMEA this particular quarter, but not concerned about it particularly. As I mentioned in some of my early comments, our win rates against our competitors was very high across the globe. So this wasn't a situation where we were losing deals, but just a question of if deals pushing and so forth. So whilst again we're disappointed by the performance in Q1, we continue to remain bullish about the region and are seeing solid pipelines there in EMEA. So more of a timing issue than anything that intrinsically that we are concerned about.
Yun Kim: Maintenance?
Dennis Story: Yun, we delivered a 200 basis operating margin improvement, managing through a tough Europe theater. So I mean that's a trademark of how we manage the business every quarter. Not all theaters are going to be blowing and going. And when you look at our track record, we performed quite well over the last five years from a margin leverage and expansion point of view.
Yun Kim: Understood, and definitely see that track record over the years. Dennis, what drove the cost of license revenue to be up a little bit in the quarter?
Dennis Story: Just third-party software license.
Operator: The last question we currently have in queue, it comes from Matt Pfau from William Blair.
Matt Pfau: So first, I wanted to hit on some of the non-WMS products. Can you give us some detail on what you are seeing in terms of demand in the quarter and also in your pipeline? What are you seeing the most interest in that's of the non-WMS side of your product set?
Eddie Capel: Matt, I would say that the second to WMS, the two products that are sort of flourishing the most at this particular point, would be our order management system and the adjacent components to that and our transportation management system. And OMS being driven by kind of digitalization, e-commerce, omni-channel; and TMS is I think largely driven by the innovation and differentiation that we are driving into the marketplace, frankly.
Matt Pfau: And then with the new customers that you're bringing on, is there a trend there in terms of what you see they initially adopt as their first product with Manhattan? Would it typically start out with WMS?
Eddie Capel: It's a great question. And in years gone by, if you had asked that question five or 10 years ago, it likely would have been WMS was the lead product. Today, it is not so much the case. It could be either WMS, TMS or order management. Relatively evenly split across those three.
Dennis Story: Matt, we're also seeing just the phenomena of omni-channel customers as part of their omni-channel initiatives focused on execution capabilities. So it's pulling through WM sales under the umbrella of an overall omni-channel transformation within the enterprise.
Matt Pfau: Last one for me. There has been quite a few headlines in the retail environment of company's having poor results or just volatility in general. But your results and it sounds like your pipeline being strong too certainly isn't reflective of that. So when we read negative headlines in the retail industry, especially from specific retailers, how do we sort of think about that in terms of certain retailers' investments decisions in purchasing supply chain management software?
Eddie Capel: I mean, certainly, there is no question that we would love to have a hugely buoyant environment everywhere in retail. But when you see retailers having a challenge, whether it be by market segment or by channel in which they're operating, in many, many cases what we're seeing is what is required there is investment to transform that segment of the business. And quite candidly those that don't invest can end up in a pretty dark place frankly. Now, this is all under the backdrop of, as you all know, Matt, our solutions deliver excellent ROI to the retail space and all the industries in which we operate. So even in a tough environment, we're delivering greater ROI for our customers.
Operator: And at this time, we have no further questions from the phone lines. End of Q&A
Eddie Capel: Thank you, Skinner. And thank you everybody for joining us in our Q1 earnings call here. As I said, we're very pleased with the start to 2016 and we'll look forward to reporting our progress about 90 days or so from now. Thanks again. Bye-bye.
Operator: This does conclude today's call. You may now disconnect. Thank you for your participation.